Operator: Good morning, ladies and gentlemen, and welcome to the Acerinox's Fourth Quarter and Full Year Conference Call. The year 2024 was a very important and transformational year for the group. As we will comment during this presentation, we continue to address our strategy moving to high added value materials and focusing on our core markets. The acquisition of Haynes International, the new production model implemented at Acerinox Europa and the sale of Bahru Stainless have been important milestones that have occurred during this year. To discuss these topics and many more, we have here today, our CEO, Bernardo Velázquez; our CCO, Miguel Ferrandis; and for the first time in our full year presentation, the newly appointed CFO, Esther Camós. Before getting started, let me remind you that this conference call is being broadcast on our website acerinox.com, on which you can also find the audited annual accounts and management report which also includes the statement of non-financial information. Without further ado, I would like to hand the floor over to our CEO. Bernardo, please go ahead.
Bernardo Velázquez: Thank you, Carlos. Good morning, everybody, and thank you for attending to this results presentation. One year more. We are here to speak about last year's results, how do we see the situation today, how do we see the situation for 2025 and what are we doing, what is the strategy and how is the as position for all these changes because many things are happening in this world. Many things have happened in 2014 and is still changing in 2025. We can speak about 2024 wait and see year, everybody waiting for the European -- the American elections, waiting for the new European Commission. Still, we are waiting for the new German government and still waiting for the reaction of the market that will come sooner or later. And many things have also happened in Acerinox. Many things starting for fulfilling our strategy. We sold Bahru Stainless with a lot of pain for us, but it was impossible to compete with other rules of the game with the Asian players. We are going to dedicate our efforts to our main markets, starting with Europe. Europe, we are changing our business model and that costed us, as you perfectly know, 5 years of a strike, but we are successfully changing the business model into the new strategy and going ahead with our strategy. And it's the year of Haynes, it's the year of Haynes where we are reinforcing the strategy that we started in 2019 with the acquisition of VDM. Thanks to the success of the VDM acquisition, thanks of our clear idea of what is the future for our industry and with our clear strategy, so we decided to go ahead with this project that is going to be transformational for our company.
Miguel Ferrandis: When we talk about 2024, clearly, the main definition we are using is a transformational year. If we were purely talking about business as usual, it should have been also excellent year to comment and a year to be proud about. In the map, you are seeing all of our companies in these days, if we should start from the west to the east, we could talk about the breathtaking results of North American Stainless in a difficult environment with 3 years of contraction in the States. And the results have been amazing. If we think of VDM, it's true that with headwinds on the nickel market, but VDM has been taking records on a monthly basis in conversion margin. When we look at Columbus in South Africa, it's true that a big effort and a big work for improving the position of Columbus in the market and flexibility, bringing new products. There are a lot of things on our business as usual to talk about. But the main slide today obviously is the transformational that is coming from these three milestones that Bernardo has mentioned. In this regard, if we start from the east to the west and try to value which has been the effect, the economical effect in our accounts of these three milestones starting from the East. Obviously, the sale of Bahru, as Bernardo mentioned, we informed that the sale of Bahru was taking place at USD$95 million. This is something that we have been disclosing in the last year. Bahru was not core business anymore, but we prioritized to find the most suitable way for our stakeholders, mostly for our workforce, for keeping our operations and keeping the plant running. On this basis, finally, the decision was the sale, selling at USD$95 million after last year's exercises of making impairments at Bahru's assets. At the end, this sale at $95 million has created a higher effect and a higher income in our P&L in this year. So the effect has been €146 million in the year. And as I say, as a consequence of all the previous impairments that previously were taking place. And as a consequence, that the sale also has occurred in 2024 at a stronger dollar exchange rate, much more stronger than that one of the historical investment we made on Bahru from the year 2009. So consequently, this has made a big contribution of €146 million in the year. And this compensates some of the areas that have had a negative impact in our results of the year. Obviously, the effect of putting in place the new business model for Acerinox Europa, as Bernardo mentioned, created tensions with the unions. And we have been experiencing a 5-month strike, but it was very important that this business model was implemented. So obviously, it has been painful experiencing such a strike, especially for people in the area. But what's fortunate is that finally, the business model has been implemented. This business model shall make the turnaround of the plant and for profitable performance even in hard times as the actual ones, but the bill that we have today as a consequence of the strike has had an effect of €84 million. When we made the first semester results, we talked about estimation that the strike in our accounts have created an impact of €43 million. This has been the direct loss appearing in our accounts. In addition, the losing possibilities, the losing orders has created additional effect of around €40 million So because of that, what we more or less quantify the impact of that strike has been €84 million for now the situation is solved. And then we have this wage agreement working in place until end of 2027. As part of that wage agreement implementation, it has been agreed our Rejuvenation Plan and we already more or less have registered for it and included in accounts a provision for that plan, which amounts to €12 million. So this is more or less at the end, what appears as a consequence of the effects and the tensions taking place during the year, fortunately, now they are solved. And then moving more to the West it is clear that the acquisition of Haynes has been a great milestone. We have talked a lot about this in the last year since the fifth of February when we announced the deal. It has been -- it has taken longer as expected because of several of the antitrust allowances that need to be obtained. Finally, it took place in December, much more later than what we have preferred, but any case, since December, we incorporated Haynes in our figures. And as a consequence of that, well, the final valuation was the same that was announced at the very beginning. We have absorbed €51 million of debt of Haynes. And also, we have reduced at the end of the year, the -- all the expenses incurred for the transaction, which have been valued at €21 million. So all these more or less has been the bills we have needed to pay most of them recorded at the end of the year for the three milestones that create this year for being the transformational year in the Acerinox Group.
Bernardo Velázquez: Let's speak a little bit about the situation or the environment in 2024. Look at the left side of this slide. It's three consecutive years with apparent consumption going down in United States. So something that is statistically is not normal. The same that we have been 26 consecutive months in the United States with the Purchasing Manager Index, the PMI below 50. If historically, there's only one time in the history of the United States when PMI was below 50 for three consecutive years. That was in the 1929 crisis. So I don't think we are in the situation so statistically, I think we can only go better in the United States. The economy sooner or later, will react this year. In the environment that we have been living in 2024, apparent consumption was flat. We have been reducing the stocks in the market after all the excess of optimism that we lived after in the post-pandemic situation. Now we have already digested the inventories. The market has been digesting the inventories through the years to three consecutive years and now the inventories in distribution to the United States are 19% below historical levels. So situation is really for recovery for a rebuild of stocks. Prices have been stable in the United States. But because NASDAQ has a very clear and good leader of the market have been sacrificing volumes to get this price stable. And anyway, even with this sacrifice, we have demonstrated that we are the preferred option for our customers because we have increased our market share 2 points, what is important for our current position in United States. In Europe, the situation is more or less the same with a little bit more delay in the reaction. APMI that is already positive in more than 50 in United States is still below 50 in Europe in January and February. The apparent demand went up in the last part of the year, but mainly went to stock was not real consumption because inventories remain below historical level, but only 9% below the historical level, Import has increased. And imports are not increasing more than this because of the low prices that we are suffering in this market. The imports have been pushing prices down. And finally, we have a level of price that do not compensate their export. But still, the prices remain very depressed. And in the nickel alloys, in the high-performance alloys business, situation is totally different, but it is quite -- it's a very consistent demand, very stable market. Oil and gas is still in a very good shape. Of course, not in Europe, but there are many countries that are investing now in oil and gas. I'm speaking about Brazil, the Far East, the Middle East, many other countries are still investing in petrol extraction. Electronics are okay after several years of depression. And automotive is more or less a stable. Chemical industry, is the only one that is a little bit softer. And aerospace is offering the Boeing situation, but it's something that will change sooner or later. In this environment, we have been very, very active. We have gone ahead with the expansion plans of NAS and VDM that is itself -- themselves, they are an important project. It's not so easy. There are some other companies that are suffering for a bad investment. This is something that normally doesn't happen in Acerinox. We are transforming our business model. We are following our strategy. We're sticking to our strategy. We are not changing. We are not changing anywhere with the low cycle because we have a clear picture of what is our future. We have sold Bahru Stainless for a reason, and we have acquired Haynes. But at the same time, we have been loyal to our traditional strategy. We are loyal to our ESG strategy. We have launched the Eco-Acerinox [ph]. That is one still great in which we warranty that we're using more than 90% recycled material that we are using 100% of renewable energy and that we are reducing CO2 emissions more than 50% compared to the standard production. It's a new product. And we hope that the European society we are bidding for sustainability bidding for these environmental improvements and sooner or later, we'll pay more for this material will be in specialty. We have been recognized again by EcoVadis. We don't mind -- of course, we mind that we don't care about the gold award because it is only because of some standards of this evaluation that when you have a long labor conflict as we have in, we will lose some point, but we will come back to platinum very soon. Following our carbon emissions reduction programs. And in this low cycle with all these plants with all these investments, we have been able to reach a net sale of €5.4 million, a reasonable good EBITDA of €500 million. We have good cash flow generation, and we are keeping our CapEx. I think the situation, if the theory says that it's better to invest in the low cycle, I think we are in the -- we are doing well. We are comfortable still our debt is under control, and we have a lot of plans that is, I think, have to be recognized by the market that we have plans. We have a clear strategy in turbulent times. We have a plan, and we have a clear strategy.
Miguel Ferrandis: As Bernardo mentioned, we are presenting a remarkable EBITDA of €500 million in 2024. Our business is cyclical, and it's as it is, and we know it quite well. On that basis, we normally avoid to bringing and introducing the adjustments or the adjustment to EBITDA because most of the issues that normally take place are part of our business and are part of the problems that we're trying to solve. In this year, there are exceptional circumstances that justify that for your understanding in your analysis and valuation, which has been the metrics of the performance of the group, probably and especially having positive and negative effects. We have preferred to give a full transparency and putting on the screen all the facts that have been affecting the normal evolution of the business in this time. And as a consequence, as we mentioned, this EBITDA reported has been obtained having extraordinary circumstances, like, for example, the provision that we have raised for the Rejuvenation Plan. In addition, we had covered in the last part of the year, all the acquisition expenses of the investment at Haynes. We have been, in this regard, benefited by the effect in our accounts of the sale of Bahru asset. This contribution of €146 million to our profits of the year. And we have made a remarkable inventory adjustment at the end of the year. And at the end of this year has been remarkable, keeping in mind mostly two facts. In one side, as we mentioned, part of it not so relevant, but part of it is in the High Performance Alloys division as a consequence of the headwinds on the nickel. But the most relevant part of it is related to the disruptions that have been taking place in the production and in the sale of the material produced by Acerinox Europa because of the strike. So it has been a difficult year to manage in terms of obviously, 5 months of a strike, then the startup of production. Approaching to the customers that we have been targeting. These circumstances at the end, create that at the close of the year, we prefer and we decided to make these adjustments for including more or less the material, which, at the end, probably could experience some loss in its natural value and it has been recorded at the end of the year. So consequently, this inventory adjustment is more than normal because the circumstances that have generated that stock also as a consequence of a 5-month strike have been abnormal. So not considering these circumstances, the adjusted EBITDA that we are talking about and Esther shall also explain the figures in detail now reached to an amount of €445 million. Parting from this adjusted EBITDA, what should have been the history if we should have not suffered the strike, obviously, as we mentioned before, probably the profitability in this turbulent year should have been €84 million and above. So at the end, the let's say, equivalent normalized EBITDA for the year 2024 should have been more close to the €529 million, which taking into account more or less that the industry, all the players in the sector have been already releasing their figures. We understand that we had this time taking more distance with most of our competitors in terms of profitability and efficiency.
Esther Camós: Okay. Good morning, everyone. I just want to start by saying that we have released today our annual audited accounts, as you know. And as Carlos already mentioned, as Miguel has not this year, we really recommend you to read these accounts. They are very detailed. They explain very well all the events that have occurred during the year. It also includes the annual account with the sustainability report. And I want to thank also the financial department, sustainability department and everyone helping with that because it's been really a very hard year to complete the accounts with everything happening in the last part of the year. Thank you. And just going to the results, okay? We are proud of these results, we can say, and we are proud because of two things. The first thing is we have achieved a good result even in the difficult market situation that we -- that also Bernardo and Miguel have already explained. Both in Europe and in the U.S. the demand has been very low. And even though we have achieved an EBITDA of €500 million and an adjusted EBITDA of €144 million. The second thing we are proud is because we have been able to continue with our strategy. Our solid balance sheet has allowed us to still build the strong pillars that are going to be the path that led us to continue in the path that we have already initiated. And although about the extraordinary effects that Miguel has already talked about, we've been announcing them during the year, okay? And we have been talking about the acquisition of Haynes and the divestment on Bahru. But in the end, everything happens and affected the results in the last part of the year. So everything has been coming to our results in the fourth quarter, okay? And this is what we can see in the slide that you have in the presentation. If we start just going to the quarter, okay, if we start by talking about production. In production, we are reducing 19%. That's true. And that's mainly because with two objectives. The first one is, of course, to adapt the production to demand. And the second one is to reduce working capital. As you will see in the -- later when we talk about the working capital and the cash flow. In terms of sales, they have been also reduced in the quarter, mainly due to the lower volumes. And also to the seasonability, okay? It's the last part of the year is always lower, okay? And then we go to the EBITDA, okay? In the EBITDA, we are reporting €150 million. It's been affected by several factors. And all of the factors that Miguel has explained, all of them are in the fourth quarter. So the adjusted EBITDA, which is affected by the same extraordinary effects that Miguel has explained, will be €91 million, sorry. In terms of margins, we have achieved a reported margin of 11%. But if we go to the adjusted, it will be 7%, which is even higher than what we got last year even in these bad circumstances. And we've got an operating -- positive operating cash flow of €91 million, mainly driven by the reduction in working capital that we have mentioned. Going to the year-end, okay? The volumes have been mainly affected by the mentioned strike, okay? The sales have been even lower because of the reduction on nickel compared to last year. And then we go to the EBITDA of €500 million. I want to make a remark on the EBITDA. Just one short remark, which is if we go to the past, we don't see these levels of demand until we have to go 15 years back. So it's not until -- it's not -- it's 2010, 2011 that we have same levels of demand that we have today. But if we go to the results, we are 60% higher, okay? And that's the strategy. That's our diversity. That is what we have -- what we are achieving with our strategy. If we -- the operating cash flow, it's been €294 million, okay? And the net financial debt is €1.1 billion, mainly affected by the acquisition of Haynes. Later, we will talk about it. The ratio net debt-to-EBITDA is in 2.2 which we think is very satisfactory, having in mind the new acquisition. If we go to the -- to our divisions, okay, and let's start by stainless. Stainless is reflecting all the effects that we have seen in the extraordinary and the bridge that Miguel has presented, everything is concentrated in stainless. Even the expenses of buying of Haynes are in this EBITDA too, okay? Stainless has been our traditional core business, okay? We have NAS, of course, is giving us an advantage compared to other producers. We keep margins in very good levels if we compare to all the producers as well. And if we divide Europe and U.S., in Europe, okay, we have paid a bill. That's right. We have paid the cost of the strike this year. But we have been able to implement all the measures that in the short term will allow us to change the trend of our plant in Heidi. In the case of U.S., as Bernardo mentioned, we have sacrificed volumes, okay? But we have been able to maintain prices, which is a very good -- which are very good, and we have continued being the leaders in that market. The reported EBITDA, €126 million and €383 million for the year with a margin of 9%. And I think its diversification is what is making Acerinox different. So if we go to HPI in high-performance alloys, in high-performance alloys, we have longer-term visibility, okay? We have long-term contracts. We have longer terms of delivery. So that makes us have a better view of what is going to happen. We have a solid order book. There is a stable market, especially in oil and gas. Oil and gas has remained high during all this year. And when you compare results, you might think, okay, but results are not the same as you had, that's true, but please remind and we have been -- remember you all the time that 2023 was not a recurrent year. It was really affected by the tailwinds of the nickel, which is something that has not occurred this year, even we have had a low, let's say, instead of the tailwind that we had last year. So that's what is making it to be lower. But even though we have an EBITDA of €117 million in the year. These results in the quarter are included only one month of Haynes okay. Haynes acquisition, even though we would have like it to happen before, it really happened all in the same month. So we are just consolidating one month, but the full debt, okay? So Haynes, in the U.S., U.S. as you know, the last part of the year has been impacted -- is always impacted by seasonability. And this year, we had also the elections and we had the Boeing issues in aerospace, but they will recover along 2025. The operating is very remarkable. The operating -- the operating cash flow of €140 million compared to the €7 million of last year, I think. And just going to the cash flow, okay? We are represented the cash flow in a very comprehensive way. We think we start by the EBITDA of the €500 million. Then we can see the decrease in the working capital of €71 million. We have decreased inventories. We have decreased rate receivables, but also payables, as Miguel will mention too. I think it's also remarkable the financial expenses. Our strong balance sheet position with high volume of cash in remunerated cash in U.S. dollars makes our financial statement to be almost insignificant. And it has allowed us -- all that cash has allowed us also to pay Haynes our transaction in cash, okay? The taxes paid this year €131 million, and then we reached the operating cash flow of €294 million. In terms of CapEx, okay, CapEx has been €205 million paid this year. We announced a higher cash flow than that. It's true that there's been some delays in the -- due to strike in the VDM Power. But in general, NAS and everything is -- all the projects are in time, okay? We are not having delays on that, just maybe invoices that have been delayed to January. But nothing exceptional there. And then Bahru, okay? Bahru, some of you may think, okay, why only €18 million when you are selling at €95 million, €95 million, Bahru has been sold at €95 million. It's going to be €95 million cash. The thing is that the price has been splitted. We have been receiving 20% of the pricing this year. That's the €18 million that you see in the cash flow. And then the 80% going to be secured through a bank guarantee that will be collected in the second quarter of 2025, okay? And that's -- and then we have Haynes, Here, we have -- this is the cash that we have paid for our Haynes, the €769 million. This is the cash that has been out from the group. It does not include the net financial debt that we have incorporated from Haynes, which is €51 million. The operating -- the free cash flow is negative in €662 million because of that payment. If we deduct the acquisition, we will have a positive free cash flow of €128 million. In terms of dividend, we keep the compromise with our dividend. In this year 2024, we have increased the dividend by 3%. And our aim is always to keep the dividend flat. We have to pay dividends for, okay, even good circumstances, bad circumstances that remains flat. And then the net financial debt increase in this year has been of €779 million.
Miguel Ferrandis: For splitting this huge increase in the net financial debt, you also know that one of our main assets always has been the financial strength. The financial strength of Acerinox Group is mostly supported on one fact. For the last years, we have been more or less accumulating a strong cash position in the States, a strong cash position in dollars. And also, we have been more or less following a very competitive finance in Europe. We are very, very well accompanied by long-term partners that at the end, value our business and value our performance. Consequently, we are not rated. We are not consequently, our sector is maybe it's not so glamorous for the rating agencies, but we are probably being considered investment grade for most of our pool of long-term relations banks. And consequently, our term debt is extremely competitive. And in addition, it's covenant free, which is also something that in our sector is relevant, keeping the cyclicality of our business. We always have the comfort that any distortion or any strong correction should not affect our position. So on that basis, the net financial debt for us is not a headache, but it's true. That in this year 2024, we are finishing with the highest level of net financial debt since the year 2008. The reported figure is €1.1 billion, as Esther mentioned. There are obviously two strong circumstances that have reached this figure to be there. The most relevant is all the Haynes acquisition taking place in December. In addition, also the Bahru, the closing or the selling of the Bahru for us has had an effect. Obviously, the first part of the payment has been receiving cash, as Esther mentioned, but obviously, we have honored the liabilities of Bahru and the debt payments and a consequence of that, also the selling of the Bahru business has increased our debt in terms of around €160 million. So what we wanted more or less to clarify in this slide is the business as usual should have moved us to a reduction of debt in this year pro forma of €122 million, closing the year 2024 in €219 million. The circumstances create that we are reporting this figure. And our commitment is that this obviously shall be gradually reduced, not only with the cash generation for the business, but also for a strong program in place for reduction of working capital. If we move to the sustainability development in the year, we could spend hours talking about sustainable. In fact, the annual report, which is available at our web page from this report, two-thirds is related to sustainable. So I also insist the relevance of following it, and I want to especially to congratulate all the effort of the sustainable team in Acerinox because we have voluntary adopted the European Corporate Sustainability reporting disclosure that still is not compulsory in Spain, but we have preferred to anticipate and make it voluntary in this year. So just for giving a quick speed in most of the areas, we are over performing. We are over performing in diversity, in waste reduction, in water withdrawal, in GHG emissions. So we clearly are above the targets. There are two areas where we have been below the targets. And those two are more related to the circumstances taking place in the year. One is in terms of safety, we have obtained a reduction in the injury rate of 8%. The target was more ambitious, but it's true that the target is defined for a business as usual running year. With the disruption taking place this year with production failures, as a consequence of the strike startup, accommodation to the new condition market, it has been several more manual interventions. These manual interventions, there's more maintenance in the shutdowns or in the, create minor injury incidents. Obviously, all of them are monitored. But these less ambitious reduction that the one we were planning was especially as a consequence of that. We clearly should improve this. And obviously, we have programs in place even for reducing that level of minor injuries. The other area, which obviously has been affected this in terms of energy, it's clear that in the low capacity utilization, we cannot be successful of the reduction of intensive in energy. But at the same time, what we have put in place is a new decarbonization plan for the year 2025 to 2030. The carbonization plan is fully aligned with the Beyond Excellence program. It's very related to energy efficiency and increasing renewal electricity. So we are there it more or less implies an increase in operational expenses or minor capital expenditure related to the efficiency plan, around €2.5 million per year. And with this, we clearly can't commit to have expected savings of around 800,000 tons of CO2 per year. This is focused on scope reduction of Scope 1 and 2 of 45%, which is under our control fully. And we commit to move in that direction and also in the Scope 3, which is obviously less under our control because we also depend from our suppliers in terms of a 15% reduction from now to the year 2030. In addition, we, as previously Bernardo introduced, we are obviously putting in place the Equatory notes with 100% renewable energy utilized for that and most of 90% from recycled material. So this means a 50% production on the intensity of CO2 for that production, and we are in deals with 44 customers that probably are the one or the introduction for our participation in this relevant market for the coming years.
Bernardo Velázquez: Okay, strategy. I will go first in this presentation because you already know most of the things. We are following our clear strategy. We have already mentioned a lot of things about our strategy today. We prefer to give some time -- to give you some time at the end of the presentation for the Q&A session. Remember strategy, four pillars: excellence, added value and everything is surrounded by sustainability and based in a very solid financial structure. Added value. We won't look at the pyramid of the materials. So we were very important in the lower part of the pyramid, that's commodity, stainless grade, tailor-made stainless rates focuses grades for our customers. Now we have VDM in the left-hand side, is HPA. We are leaders in the world in HPA. I want to fill the gap between both things. We want to make special stainless and other alloys that can fill this gap to be -- we already are the company in the sector with the widest portfolio of product because we are making stainless, HPA and flat and long. We fill the back the gap, we will have all the pyramid of the heat temperatures and corrosion-resistant materials, unique in the market. So now moving from a more commodity, a global presence now more added value, more focused in our main markets. Of course, we cannot forget excellence. We still have to be competitive. Still, we have a commodity maker. We cannot lose this because our factories are prepared or designed for big production cities, and we need to keep this running. We have released in 2024 for the first year, the new program beyond excellence with a target of €45 million, and we only reached €41 million. It's not bad, 91% even in the situation of the strike. For 2025, we have released the second year of this plan, in which we will have a target of €30 million plus €7 million of Acerinox strike that we couldn't fulfill during 2024. At Acerinox Europe, we already mentioned, we need a new organizational model for its flexibility, poly balance, new production bundles, everything is focused on this flexibility that we need to work in these volatile times. And moving to added value. 5% up of the added value product steel grades and 10% up in end user business. We have to be adapted to the cycles and attached to our strategic. Columbus. Columbus sooner or later, how to be focused in Africa. This world is becoming more regional. And in the past, Columbus used to sell 70% in export markets and 30% in local. I want to turn these numbers. We want to be 70% in Africa because not many companies can say that have more than 50% market share in the whole continent. We are around 50% market share in the whole Africa, and we cannot lose this position. So we are specialized in Columbus in what we know how to do. We are in the country with the biggest results of chrome. So let's make the -- be the specialists in the world in ferritics. And we are specialists in ferritics and we are developing new rates to accompany our customers in their needs. We are making mild steel. Also, there was a lack of mild steel in the country. We are making mild steel. We are very close to develop -- to start marketing electrical steel. We are also developing XP production with the knowledge, of course, of VDM, developing this HPA in Africa. Because we need to focus on the African market. We already are, I think, the most flexible plant in the world. I don't know anybody else that can make mild electrical and stainless in the same plant with the same equipment. NAS, we are the clear leader of the American market. We have an important market share there. And we don't want to lose it. We don't want to lose it that we are investing to expand our capacity by 20%, not to put pressure on the market just to keep our market share. And we are demonstrating here the importance of digitalization. Because as you can see, how can you increase 20% the capacity that is more than 20,000 tons per year with only a CapEx of €244 million. It is because the investments in the melting shop and in the hot rolling mill are almost for free, coming from the utilization, coming from digital models, debottlenecking our business with digital models and using digital tools to increase the productivity of our lines. So it will be a success for sure. Paybacks is €2.75 million. VDM more or less the same, world leader in HPA, I want to remain as world leader in HPA. So we are investing €70 million -- sorry, €70 million or EUR 67 million with a payback of 2.4 years to increase capacity in remelting and downstream to utilize all this new capacity. Of course, we don't forget the synergy between VDM and Acerinox. Remember that we have reached €70 million, that is more than achieved. And we are also investing in powder automates because we want to be top technology in this industry, and we are bidding for this technology of manufacturing additive manufacturing.
Miguel Ferrandis: In year 2020, we acquired VDM in the center of the COVID crisis in March 2020. Clearly, our strategy was diversified through the high-performance alloys. If we compare the previous 5 years' average of EBITDA of VDM in that period was €76 million. In the 4 years in which VDM is inside Acerinox Group, the EBITDA average has been €120 million. So it's almost 60% above what was the previous period for VDM. When we made the announcement, we clearly clarified. We have an ambitious target of contribution of VDM of around €7 million per month, €84 million per year. We have been even over performing 43% compared with these basis. So this justifies our -- obviously, our excitement in growing and moving more forward, the high-performance alloys. And as a consequence of that, obviously, came the Haynes acquisition. That has been taking place and taking most of our work and efforts during the year 2024 for trying to close the deal and start more or less moving forward. Finally, we are there. As it has been mentioned, we are expanding in America. We are expanding in a sector relevant as the aerospace one. We are having the combined capabilities, next slide, which please with a combined capability that we have also with operations we have in Kentucky and there, we are fully not only motivated but fully optimistic of what is going to be the Haynes contribution and growth in the group in the coming years.
Bernardo Velázquez: Why Haynes? And there's no reason, Miguel explained, why we decided to acquire Haynes? Remember that we are not an expert in reorganization in restructuring companies. We -- normally when we buy a company, we buy a good company that can be added to the tm group to make it better. And this is what we are doing with Haynes, it's a good company with good knowledge with people, but why Haynes plus €200 million is because studying the business plan of Haynes will realize that they needed some more capacity that they had a bottleneck in the in the melting shop and in the forging side, we needed to expand that capacity. And expanding that capacity, we can also have more synergies than I will speak later between Haynes and NAS. Haynes is only located at 3 hours by truck from NAS. Haynes is in Indiana on the other side of the Ohio River. NAS in Kentucky, but in the Ohio River bed. So the synergies can be implemented much easily. And we are now starting the integration phase, not easy. We have to integrate Haynes in three sites. First, we are creating a platform and HPA platform. So we are integrating from the business side, Haynes and VDM. Sooner or later, with the new investments, Haynes will have to be oriented to NAS. NAS is 100% the owner of Haynes. And of course, also not so simple, Haynes and DSP division have to report to this consolidated numbers, have to report to Madrid. When the analysis of this investment, we estimated €71 million. After sharing the information with the Haynes team, we have reconfirmed that the synergy can be the €71 million that we find it out, and we are increasing to €75 million We founded new areas of development. Of course, origin of the synergies is operational side, benchmarking between two companies is very important. And Haynes team and the VDM team never had the possibility to benchmark their activities with a colleague with a partner in the same business. And this is what we are doing. We know how to do it because we did in Acerinox, comparing a benchmark, the Acerinox, NAS, and Columbus. So that's -- from this point, we come a lot of synergies more than expected probably. Haynes take hot rolling mill in which is a powerful statement in which we can also hot roll the stainless steel plates. So stainless steel have less productivity than normal coils. If we move some of these plates to be controlled in Haynes, we will free some extra capacity to increase our capacity in us, so this will give us an advantage. We will start producing wire rod in NAS as well. Of course, we are going to combine the workforce, and we are going to combine the products, the patents and the technology. So everything is perfect on this. Haynes is much in very much, but also when we decided to go ahead with Haynes and to increase the capacity, we find it out what is for me the real exciting thing of this investment. But for me, it's really make this project a really exciting one. It's a [Indiscernible] because this increase of capacity in Haynes, will let us start producing HPA long products in NAS. We will make billets in Haynes that will be sent to NAS to make wire rod. We're investing. We are ready. We already approved the day before yesterday, new equipment for the hot-rolling mill in NAS that will let us have a better console of the process and will let us start hot rolling long products of HPA. Long products in HPA in the United States, that means aerospace. And the aerospace industry, besides the problems of Boeing is booming -- normally, it's a very special business, and we will start making these long products HPA in a factory that is probably the most competitive in the world. So we will increase price, we will reduce cost. And this is a big project. This is a game changer, I think, in the American industry. So very proud of this, and I'm very excited with this project because I can tell you, great. And also, this will give us more balanced situation. Now, Miguel?
Miguel Ferrandis: Yes. The global footprint is fabulous. At the end, VDM is world leader in the high-performance alloys sector, but it's merely oriented its production to Europe. Consequently, the acquisition of Haynes also balances better the position because Haynes is majority driven to place its production in the North American market. So at the end, the final figure of the combined entity in HPA gives presence of 53% sales to Europe and 28% in North America. This is exactly the opposite that the one we have in stainless. So it's the perfect balance in stainless 52% of our sales go to North America. And Europe means around 30%. So consequently, geographically, we are excellently balanced now for covering whatever could be the circumstances or distortions in each of the geographies. In addition, if we move to sectors. Most of VDM production, it's more relevant markets where oil and gas and the chemical process industry. Obviously, more of 50% of the sales of Haynes to our space. So now we -- no other player in the high-performance alloys has such a diversified portfolio with relevance of sectors such as chemical process industries, the oil and gas, the aerospace and also the industrial gas turbine. So we are not exposed to a single sector where most of our competitors probably are more dependent on one specific sector. When there are disruption of tensions, obviously, the suffer is much more. Our footprint in this regard, it has no comparison in this industry.
Bernardo Velázquez: And last but not least, if we want to fulfill this gap in the pyramid of materials, as I mentioned before, I mean, we want to be a leader in technology, we need R&D. This is -- and together with Haynes, now we have the strongest team, the strongest capabilities in R&D in our sector. We have 53 patents. VDM is a leader in the world in patents. Haynes is already supplying most of the sales of Haynes are property materials, materials that have been invented in Haynes. We are combining this force plus the knowledge that we have, the expertise that we have in Acerinox in process, improving process. So the combined R&D forces of the three companies is going to be relevant in the market, is relevant. And this is because if we want to be the technology, we have to go before, ahead of the market. We have to be designing what we need for the future. That's why we released this interesting project in the Acerinox group that is called materials for the day after tomorrow. Because it's a think tank that we have created inside the Acerinox with people from all the nationalities different areas, thinking what are going to be the mega trends for the future, how the world is changing, what we need in 10 or 20 years and starting to develop these new alloys. These new extended steel grades for them. We are looking that in the future, the Acerinox can be a prescript of material can be a service supplier instead of just a material supplier. You can come to Acerinox and say, okay, you have everything. I want to build this chemical plan. What do you recommend us? And we have flat, long stainless steel, commodity stainless steel, specialist steel alloy everything. So we can be the prescriptor of material, helping engineering firms are helping the companies to use the right material in the right application. So very happy, very excited with our strategy. And I think we have a very clear path. I think we all in Acerinox share this view, and we are going to fulfill it. So finishing with the conclusions. Of course, we think we have a strong and successful strategy in a very changing year in a very challenging year. We are working in building the new Acerinox. We're going ahead in this path with our organic and inorganic growth, increasing our presence in final customer’s added value, moving to solutions model and products, investing in the low part of the cycle with a solid balance sheet. All these things are thanks to this solid balance sheet because we are 2.2 times EBITDA in the low part of the stainless steel cycle and in expansion phase. And looking ahead, I said the situation is starting to improve. Our order book for marches is better. Still January, February were very depressed more or less following the same rhythm than the fourth quarter last year. But now the -- there's a little bit more visibility in the market, especially in the United States. And the things are starting to move. Probably Q2 will be better, probably the economy will react through the year. But with our current situation with our order book, with the solid margins that we have in HPA, we can say that Q1 EBITDA will be slightly better than Q4. I think this is important. It's a good starting point. We are starting to see the sun and we are very optimistic with our future. So thank you very much.
Carlos Lora-Tamayo: Thank you very much, Bernardo, Miguel for the presentation. Let's move now to the Q&A session.
Carlos Lora-Tamayo: We will start first here with questions from the room. [Operator Instructions] [Indiscernible]
Unidentified Analyst: [indiscernible] Two questions, if I may. The first one is if you could provide a bit of color in the Haynes Aerospace business, specifically, what's your view for 2025? It's something that is small linked to Boeing? Or it's something that is also supply chain? And the second one that is specifically for the part of the net financial debt that you are expecting for 2025. We have seen also your numbers for EBITDA adjusted and also, if you have, let's say, some figure for the ratio. Thanks a lot.
Bernardo Velázquez: Thank you, Oscar [ph]. I will start with aerospace, I think this is not our business. We only can tell you what we know from our customers and the things and what is happening today is that with all the problems with the strikes and fires in going, there's a collapse in the supply chain. So the orders are there. I think Boeing is full of orders until 2040 or something like that, it's incredible, and Argus [ph] can be in a similar situation. The military industry is also booming. So the situation will improve. But what happened today is a problem of the supply chain. There's some collapse in the supply chain. So we have -- the orders, we have our material, but our material is waiting to be delivered once they have the bottleneck, the problems that they already have. But the orders are there. So we don't have a canceled the orders. We don't have a lower order book. We are postponing the deliveries.
Esther Camós: About the expected net financial debt, okay? The net financial debt we need to have into consideration that for next year, we expect an increase on activity due to the strike of the year, almost we are expecting around a 20% increase in volumes, and that normally comes with an increase in working capital, okay? What we are aiming and we have very strong programs inside the group just to contain the working capital. So we are -- what we are trying and the objective that we have is at least to keep -- the working capital stable, even though we are increasing the activity, okay? And we cannot forget that we are on expansion plan. So the expected CapEx also for next year is going to be higher. We'll be on the range of €300 million €350 million, something like that. So the aim at the end of the year would be at least to keep the debt. Obviously, with the higher EBIT than expected, the ratio will go down, okay? We won't be at the levels of the 1.2% probably that we have as an adjusted, that will make -- that probably will take two years, but that we expect more or less that to be stable.
Carlos Lora-Tamayo: Any other questions here in the room? Okay. So let's move now to the questions from the conference call. Please, operator, go ahead.
Operator: Thank you. Our first question comes from Krishan Agarwal with Citi Bank. Please go ahead.
Krishan Agarwal: Thanks a lot for taking my question and the detailed presentation. The first question is on the U.S. tariffs. You alluded to in your presentation that you are expecting the positive impact from the tariff measures on the demand into the U.S. Have you seen any kind of early signs of that demand coming through and also, are there any kind of signs that you are seeing in terms of tightening of the current exemptions which are there in the Section 232 tariffs?
Bernardo Velázquez: Krishan, thank you very much for the question. I would like, if I don't tell you that I was willing to receive this question because it's pretty interesting. The -- when this Section 232, started to be implemented in the United States in 2018, after this 25% tariff, several countries are starting to negotiate orders with the United States. That was the case of in stainless steel or Brazil, Korea, Japan, Europe and U.K. That means that they impose tariff was -- sorry, not a tariff, a quarter that was 85% of the average exports to the United States. And below 85% was free and above was also charged with 25%. Through the years of implementation, some of the American importers starting to ask for extensions of materials that were not easy to find in the United States, so were not made in the United States. At the end we have estimated that more or less speaking about flat products and speaking about our estimations that from the 28% of imports in the United States in 2024 around 15% of that was materials that were exempted before and now will be subject to tariffs. Of course, subject to tariffs today, who knows what's going to happen tomorrow. Who knows which countries are going to negotiate with the United States and who knows what's going to happen. But today, 15% of the imports that currently were received in the United States will be charged with 25% tariffs. It's 15% of the market. So that means that the local suppliers could increase the order book will increase production because these -- many of these countries, many of these suppliers will not be able to compete with a 25% duty. Second and probably even more important for the future is that in the new 232 tariffs, more materials, more sectors have been included. It's not only related to steel in the last 22 was only steel products plus tubes. Now some other products with where steel or stainless steel represents a big portion of the cost have been included. In our case, I can tell you, is beer barrels, its tanks, things, its bolts, many other sectors as we haven't estimated this yet, but for sure that if that happens, it finally happens. And it will start being applied at the beginning of March. That will help the American industry, and that will help the American industry and that will help our customers and will develop more consumption inside the United States, so very positive for our ambitions there.
Operator: [Operator Instructions] The next question comes from Tristan Gresser with BNP Paribas. Please go ahead.
Tristan Gresser: Hi, thank you for taking my questions. First, if I can ask a few follow-ups on the U.S. tariffs. If you look back at 2018, at the time, did you notice any type of demand destruction from the tariffs? And also I mean I think if we look back at 2018, when the tariffs were announced, we got to squeeze pretty fast and stainless steel prices start to move higher. And we've seen that for carbon grades, but I don't think we've seen that for stainless. So if you can just share your view of how this time is a bit different than 2018 and why stainless steel prices are not yet reacting?
Bernardo Velázquez: Thank you, Tristan. The situation between carbon steel and stainless steel is and was totally different, but it depends on the players of the market. 2018 when the tariffs were implemented was not an exceptional year. The prices were more or less moving a little bit higher. But we, as a market leader and as a responsible market leader, decided to support our customers and not to squeeze them with the highest prices of this tariff. So we reached a reasonable level of prices that we are trying to keep this will be more or less the situation. The thing is that we will increase our capacity utilization. In 2019, the -- most of the American players who were not working in stainless steel at 100% capacity, what happened with all the disruptions and what people thought that there was not enough capacity in the United States was in 2021, and that was the post-COVID reaction. The supply chain was so empty after the COVID times after 2020 that when markets started to react, people realized that there were no, for an example of automotive, there are no cars in the car dealer's stores. There was no system in the makers, no stainless steel in distributors and very few stainless steel in producers. So everybody wanted to increase the position for a booming and expansion in the economy. And everybody wanted to buy double. Everybody wanted to buy, you have -- you are a car dealer, and you have two, you sold 2 cars, then you don't ask for 2 cars, you ask for 4. Everybody wasn't duplicating the necessities of materials. And in 2021, it looked like there was not enough production in the country, but this is not true. This was a speculation. And now we think it's going to happen more or the same. No disruptions in the supply chain in the United States, no disruption in the stainless steel supplies and reasonable higher prices. This is what we can expect.
Operator: Thank you. The next question comes from Dominic O'Kane with JPMorgan. Please go ahead.
Dominic O'Kane: Hi, thanks for taking my question. Just I wanted to go back to Haynes. And if you could just maybe give us some assistance on how we should think about the run rate for Haynes as we step into Q1? You obviously had one month of contribution in December. But how should we think about Haynes' contribution for Q1 and looking across 2025? That's my first question.
Miguel Ferrandis: In principle, the business at Haynes should be probably gradually improving, probably more activity in the second semester that is still in the first semester. So these issues affecting the supply chain mostly related to aerospace still have to be solved. As also has been mentioned before, the year in which there has been more effect or influence of all the turbulence has taken place, mostly in Boeing with the strike, with the incidents, also with the accidents taking place already is gone. So it's true that at the end, this has not been a cancellation of orders, but has been that most of these projects, new orders are delayed and shall be coming gradually for the next year. So it is expected to be gradually improving, but mostly in the second semester than in the first semester, which will be adjusting, but for a better contribution in the second semester of the year.
Operator: Thank you. The next question comes from Bastian Synagowitz with Deutsche Bank. Please go ahead.
Bastian Synagowitz: Hi, yes good morning all and thanks for taking my questions. My first one is just a quick technical follow-up on the cash flow side and just to understand the situation around Bahru. So, so far, I think from what I understand, you barely had a €60 million net increase in net debt, but you had originally guided for a €95 million reduction in net proceeds. So which exactly is the future number of cash and net debt reduction, which you will still see from the transaction? Is it the €80 million difference between the €95 million and the €18 million cash, which you've already received? Or are you still actually receiving the reversal of the €60 million and the €95 million, i.e., more like €175 million total cash and net debt reduction in 2025? That is my first question.
Esther Camós: Thank you, Bastian. Okay, the Bahru sale, okay? Bahru sale, the price has been €95 million, okay? That is clear. The collection that we have received in this year is €18 million, which is 20% of the price. And the rest up to the €95 million will be collected in the second quarter of year 2025, okay? So this has been warranted by a bank guarantee that will be collected in the second quarter of this year, okay? That is what we got for the price. The amounts that we presented in the slide is because the sale was cash and debt free, okay? So we had to cancel to pay all the suppliers that were still outstanding at Bahru before selling it to the third party, but the €95 million is the cash that we're going to get back this year, €18 million this year and the rest in 2025.
Operator: Thank you. The next question comes from Maxime Kogge with ODDO BHF. Please go ahead.
Maxime Kogge: Yes, good morning. So you shared the relatively are the outlook on the U.S., and I was wondering whether you also saw some green shoots of recovery in Europe, whether it was driven by restocking or also by real demand picking up? And if you could share some color on the various end markets there. And complementing that, could you give us utilization rates for the various units as you usually do? Thanks for that.
Bernardo Velázquez: In Europe, the situation, it is still not clear from a statistical point of view for the situation of the market stocks and what we are receiving. We expect an improvement starting in March. What we haven't seen today, especially because everybody was waiting for the general elections, even the commission, the European Commission and most of our customers, most of the still are not bidding for a clear recovery. But the situation is improving in several areas. Automotive industry is stable. Construction in Spain is moving up a little bit. Industrial equipment is still waiting, probably depends on the capital goods and this kind of investment normally wait until having a more clear picture of the situation. But in general, everything related with consumer goods is improving. Still, we are not -- we are realizing an improvement of our order book. Steel we cannot say it's not booming. Steel prices are depressed, but we expect that somewhere during second quarter, the situation will improve.
Miguel Ferrandis: As we stated in the results presentation, we are seeing that the situation is probably improving from the month of March. So still the volumes in January and February are more in line with those of the previous year. So we understand that the basis more or less still we have not seen all the green shoots that are appearing in the media. So at this time, our understanding is that probably in North America, we think it still is rational or prudent to talk of keeping volumes of 80%. And then gradually, obviously, the effect in Acerinox Europa should be normalizing from a year, which has been strongly damaged by the 5 months without activity. Having said that, in the new business model, we are now implementing in Acerinox Europa, as far as we are going to a specific niche of produce, high value added, the productivity of the plant shall be adapted to this material, which obviously more or less needs more processing. So consequent initially a reduced amount. So on this basis, still what we need to see is when is the market reacting in Europe and when we can have a much more relevant capacity utilization. On the time being, still we need to see when the market reacts is soon. But maybe a level between 50% or 60% could be prudent for both Acerinox Europa and Columbus.
Operator: Thank you. The next question is a follow-up from Tristan Gresser with BNP Paribas. Please go ahead.
Tristan Gresser: Yes, hi thank you. Just two follow-ups. And the first one is on the tariffs and the U.S. situation -- in the situation in the U.S. Can you remind us your product mix, longs versus flat in the U.S.? I think in the past, you mentioned that you were not too exposed to imports. So just I want to make sure you get some benefit there. And would you see also any risk of idle capacity being restarted in the country? And regarding Haynes and the tariff impact, the Tier 1, but also the ones against Canada and Mexico. Anything to be aware of? So that's the first question. And the second one is just on Europe, if you can talk a little bit about the policy development we're seeing from the new commission, the industrial clean plan, the potential support on the energy side, the safeguards that might be coming. So having your view on all those policy developments in Europe and how they could benefit you? Also the material circularity and I know that's a lot of topics, but just it would be interesting to have your view there. Thank you.
Bernardo Velázquez: Thank you, Tristan. In United States, tariffs will affect everything. No, I didn't say that the flat total business is not exposed to imports. They have 28% of the market is imported. So they will more or less charge with 25% to 15% of this input or 15 points of these inputs. So every product is going to be affected, it is long. It's flat, in flat products. There's a lot of import pressure, especially in wire rod from India and from Italy. And we are producing wire rod. We are also producing bars and angles. Bars has always been a closer market because it's a user business, you delivered directly to the end users. Angles is a good business for us, and there's a lot of imports of Italian and Indian angles. These countries are probably the most powerful in the long products business, and they will be affected. So this good India was already affected before, but not Italy. And Italy will be included. So for the long product business is going to be better, but also because there's a screws and these kind of things that normally met with a wire rod. If the United States is protecting with a tariff on these products made with stainless steel, production of these products in the United States will increase. And then our sales to this customer will increase. So we are affected in flat, affected in long and affected in the customer side. So everything is positive for us. In EU, what I can tell you is that it looks like the commission and the European countries are waking up of nightmare but are waking up. Because everybody is now realizing of the importance of the industry and the importance of the steel industry. I can tell you because it's public that yesterday, I attended a meeting in Paris with the Minister of Industry of Spain, Italy and France, and many member states representative of many member states and representatives of other companies of the steel business. And the message was very clear. Europe needs the industry and to survive in the -- with our industry, we need the steel industry. Steel is the base of everything in Europe. Steel, as the Italian said, is we are the founding fathers of the EU because at the beginning, it was the community of coal and steel, the first flag of this takeout of the community of coal and steel was black and blue, black for coal, blue for steel. Now it's only blue, and we cannot lose this blue. So it's important that everybody has realized now of this importance. And we are starting to speak about many topics that were almost forbidding before. We are starting to speak about a common defense policy that was the red line in the European Union. We're going to speak about everything. We can speak about a bank union. We're going to speak about tax amortization, but we are also can speak about a common energy business, a common energy market. And this is important. Everybody is realizing that the steel industry and all electro-intensive industries, we need a very competitive electricity cost because we are competing with countries that have achieved electricity and we need it. And governments are starting to be aware of this. They are starting to be aware that the several measures are not enough that we need more strict measures, more strict measures in general and that we have to apply all the tools that we have in WTO rules, antidumping and anti-subsidies and all these things, we need to squeeze the system, the WTO system, and we don't want to go out of the system to strengthen all these measures, because otherwise, we are suffering circumvention of many countries and unfair competition from many countries. And in the future, we will also suffer the convention of the Sevan [ph] measures. So -- and what I saw yesterday and you all can see when you read the newspapers and we see the -- what our politicians are the is that industry is important. And the steel industry is a key industry for the future of Europe. So I'm very confident that we are going to start given the importance that we deserve in the economic and the political field in Europe. And our politicians are now starting to be more affected. So we expect somehow a strengthening of all the antidumping cases that we have and also to have faster administration of the antidumping and trade measures in Europe. Because with the length of the procedures in Europe, we cannot react to the threatening of our input. So everything is changing. I'm optimistic because finally, Europe is situated between the overcapacity of China and the protection of United States. So we have to do something. And I believe that now Europe is starting to consider the steel industry very seriously.
Operator: Thank you. The next question is a follow-up from Krishan Agarwal with Citibank. Please go ahead.
Krishan Agarwal: Hi, and thanks a lot for taking the follow-ups. Before I ask a question, probably a request to the operator to be patient before we finish asking our questions, not to put the line of the mute. I have three questions. The first one is on the CBAM. There's a lot of chatter in the noise around the CBAM operation ability from the first of January 2026. What is your view in terms of the stainless steel sector, the provisions that have been made in the CBAM? Do you see that implementability from the 2026? Or are you pushing for some more kind of stricter changes for your sector?
Bernardo Velázquez: Thank you, Krishan. There's a lot of questions surrounding the implementation because still we don't have a clear picture of how we're going to tackle things like exports because with the -- if you have -- if we have an extra cost because of the decarbonization, we will have this extra cost for 100% of our production. But the countries export into Europe, they cannot have just a limited production of one grade that is decarbonized and the rest of production, no. So the new conversations that we have seen in the commission is that we have to consider countries instead of products and countries instead of producers. So this is very interesting, and we have to -- we need to resolve how to tackle the European exports because being noncompetitive we will not be able to export. This is very clear and something that we have to face. Around, there's a lot of questions, a lot of steel, I cannot give you my view because there is not a clear picture. One day you read that is going to be postponed. I think yesterday or the day before yesterday, some industry association, we are asking not to postpone, but cancel this decision. So still everything is now moving very fast, and I cannot give you a clear picture. But we have to resolve a lot of things surrounding here.
Operator: Thank you. The next question comes from Bastian Synagowitz with Deutsche Bank. Please go ahead.
Bastian Synagowitz: Yes, thanks for taking my follow up. So I'm wondering whether you could maybe give us a little bit more color on the current EBITDA loss run rate, which you're facing in the entire European complex including the flat business roll down, maybe also distribution on the fourth quarter run rate basis relative to the €95 million EBITDA just a little bit more color you could give us? And maybe related to that, I guess you've already been going through a very big change with the new working agreement in Europe last year. So other than just improving volumes, which is basically more a function of the market. What is really left in your hands to improve performance in those assets? And when and where would you draw a red line if things in Europe actually don't improve and the business keeps draining cash?
Miguel Ferrandis: Well, the comparison, obviously, is difficult with the starting point of 2024. Obviously, more or less half of the year, the plant has been affected by that. So then it has been a globally start-up of the operations in the second semester as previously has been stated. The new business model, what is more oriented is increase the presence in final customers, increased their presence in high added value products, be less depending on competing with imports, more in the commodity grades. And this is the strategy. When we were implementing this strategy, it's clear that we were stopped by the strike and then several orders, several of these introductions, the new customers were postponed when we started operation in the second semester. Part of that material was obviously not available. And consequently, we need to adjust production. And this is something that gradually shall be recovering during this year. We are putting all our efforts to trend plan back on profits Being profitable in Europe at this time is really difficult for almost every players. And I think you will follow the results of the industry at this time with the actual prices in Europe with a low demand and low activation of demand. And with the imports still taking some place, it's very, very difficult to be profitable in this business. Having said that, we are in the way of turning it around. And we think gradually for the coming months, we shall start to probably be profitable in the actual business condition on a monthly basis, maybe prior to the summer. We could start turning it around, but this is obviously something that still we are not touching and we are subject to several conditions. The green shoots in Europe still are not there. Let's see what comes after more or less the market has been shaking as there are in the last six weeks with all the issues taking place with the barriers, duties and so on. So it's not so easy to define when we are normalizing profit contribution in Acerinox Europe, but in the actual basis with the actual price of the market, we hope that finally, before the summer, we may start seeing some monthly profit contribution. But still it's very early to define which is going to be the figure for the accumulated year. We are on the trend, but still we need to wait a bit more.
Operator: Thank you. The next question comes from Dominic O'Kane with JPMorgan. Please go ahead.
Dominic O'Kane: I have two follow-up questions. I will ask them together. So my first question is, apologies if I missed it, but could you maybe just clarify what your group CapEx guidance is for 2025? And my second question is when you made the acquisition of Haynes a year ago, there was some discussion about or certainly questions regarding an appropriate listing jurisdiction. And I guess just 12 months on given the composition of your register, given the composition of your earnings profile, is the listing jurisdiction something that's more actively under consideration from the executive management and the Board? Thank you.
Esther Camós: Okay. About the CapEx, okay? We have mentioned two things during our presentation. One is the CapEx of 2024, the CapEx of 2024 has been €200 million when we expected €260 million, okay? That difference, of course, is going to come on to 2025. So for 2025, just considering this excess -- this, let's say, delay on the CapEx that we have had this year plus that we are an expansion plan. We expect the CapEx around more than €300 million. So it would -- it can be in the range between €300 million, €350 million.
Bernardo Velázquez: Sorry just to add something that we have delayed some CapEx, but it's not because we have postponed the CapEx. So it's just because with the SA, we had to, of course, delay some of the maintenance CapEx that we have planned for the Spanish plant. And also the rest is in time and in budget. So we are not postponing anything. It's just that the payments have been -- have gone to January and February because of the -- just for the payment terms of the suppliers.
Miguel Ferrandis: Regarding the issue of the listing, first of all, I think it's very clear in our case. We are mostly an American company, an American group because more than 50% of our sales take place in North America, and majority of our profits also come from the States. So we are an American company, but we are trading in Europe. This means that, unfortunately, as the market basis is actually in the stock market. We are trying at low multiples compared with our American colleagues, which is probably an unfair position. Having said that, probably -- or we feel more optimistic that each time this is better appreciated from the market. So clearly, from -- in terms of our share price evolution, probably there are not so many cases today of an American company trading at a European multiples, so we consider obviously, that we are, in that regard, attractive and probably as a consequence of that, we understand that our trade position has been more favorable than that 1 of the more -- other players more exposed to Europe. So where we understand we should be better valued is where we are stronger, which is America. And on that basis, we are also expanding more in America, in both stainless and in HPS, performance alloys which is the markets in which actually being more profitable, we have a much more warranted return of our investment. So this is the strategy of the group. There is nothing decided. More than that, but what's more or less logical to say is that if the situation remains, if there is such a gap between the valuation multiples of European companies compared with American ones, we should be in a proper way in some years from now to approaching the capital markets in the States. This is a possibility that always shall be there. On the time being, what we need is to work, obviously, to integrate Haynes to integrate both companies in the HPA, and we are working hard on that. We are trying also to make the best in the integration also with North American Stainless and that possibility shall be there but still has not been decided. So if the gap remains for a long period, maybe some listing or partial listing of an entity in America could take place or maybe not. This is something that still our Board has not decided, but all the movements are for having also that possibility more or less available if such a gap between the valuations in both markets remains, but we shall be obviously monitoring that.
Bernardo Velázquez: I think that even being a Spanish company or a multinational group based in Spain, when we have to present our CapEx because we don't have an unlimited amount of money available for this CapEx, we need to choose. We need to choose normally the -- normally, what we see is what is more profitable for the company, which payback is better. And now paybacks, the good payback, the good investments are in the United States. But please let us work in the integration. We have a very hard work in the integration side. We have to integrate Haynes, explore all the synergies, develop the expansion plans and NAS and Haynes and VDM, then we will be in a good situation to do what is better for our shareholders.
Operator: Thank you. Our final question today comes from Maxime Kogge with ODDO BHF. Please go ahead.
Maxime Kogge: Thanks again for taking the follow up. When I look at the balance sheet, I can see a lot of cash, more than €1.2 billion actually despite the Haynes acquisition, and this will be further reinforced by the price complement on Bahru you will receive in Q2. So how are you going to tackle this idle cash position? Is it your priority to pay down gross debt more quickly? Or do you see room for further strategic initiatives of shareholder returns? So that would be my first question. And the second is on the synergies from Haynes and from the VDM expansion plan. I know they are quite back-end loaded, but could we see a first contribution from this synergy already in 2025? And if so, by how much?
Miguel Ferrandis: Well, it's -- as I said before, our financial strength was supported by a strong cash position and a competitive debt in Europe. So consequently, we are not struggle by the cost of our debt, and this is something that is not concerning us. And in addition, we are actually in an ambitious expansion plan. At the same time, we are expanding North American Stainless operations, and this is a new production that shall be in place starting 2025 and in 2026. We are in the also expansion phase of VDM that should provide higher volumes. Obviously, also, we are in the expansion taking place after the acquisition of Haynes, €200 million. So there is a lot of projects in place for the coming future on that basis. I don't think that it's probable to think that we shall use our cash for reducing the financing there. What we need is keeping the strength for being comfortable at whatever part of the cycle in keeping our CapEx expansion, and that cash is part of our comfort and that cash, obviously, and that strategy was so successful that allowed us to make the Haynes acquisition and not needing to access the capital markets for it. So on that basis, we remain, as always, very prudent. And in this regard, our priority is putting in place all the investments, as Bernardo mentioned before, we are glad that we are able to invest in the difficult part of the cycle for taking the best advantages when the market improves. And we shall be there in this time, we do not consider to reduce our cash position, and we think it's more or less the proper balance for the leverage and the competitive leverage we are having in Spain, in Europe, sorry.
Bernardo Velázquez: Regarding synergies with Haynes, remember that we had quite Haynes in November, we only could open our books in November. So now we have been checking and comparing the studies in the synergy side, we have a clear number now. We have to define how can we implement the synergies we need to make the plan. Still, we don't have the plan. But as some of these synergies will need the new investments, we do not expect a big amount of synergies within 2025. Of course, the most evident is when you have the reduction of cost, for example, for delisting Haynes in the United States that have a cost or sharing some of our systems or using our purchasing capacity in the group that will come in very easily. But for the more sophisticated synergies, like, for example, the commercial side that we will need certification from all the different routines in production. We will need to enter in different customers. These things that will need at least one year to be developed and everything related with the CapEx we will need three years. So I do not expect the big amount of money next year. Still, we haven't defined it, but that will come.
Bernardo Velázquez: I think this is the last question. So thank you very much for attending this presentation. Very happy to be here. I'm very excited with our future and our strategy. I hope that we have been able to transmit our feelings with you. Thank you very much.